Jens Jensen: Morning, afternoon and welcome to our Q1 2010 presentation. I think we had a pretty good result in the first quarter of the year, especially when we compare to what our benchmark competitors has reported. We will follow our usual program for this presentation with our CFO, Inger Klemp, going through the Q1 highlights and transactions, financial review of the quarter and the update of our newbuilding program and finance of the same. Thereafter, I will go through some market slides and sectors and outlook on how we see ourselves. And after that, there should be time for some questions. Inger, please?
Inger Klemp: Thanks, Jens and good morning and good afternoon, ladies and gentlemen. I will guide you through the highlights and the financial review in the first quarter 2010 together with a run-through of the newbuilding program. Moving to Slide 4, in March 2010, the Frontline announced the successful completion of its $225 million convertible bond offering. The proceeds from these bonds will be used for general corporate purposes, financing on the remaining equity investments in the company's newbuilding program and will improve the company's ability to react to attractive market opportunities. In January, March and May 2010, we took delivery of three out of total four Suezmax newbuildings from Rongsheng, and a compensation payment for delayed delivery when negotiated with the yard for all these three vessels. In April 2010, Frontline announced the acquisition of two 2009-built double hull VLCC tankers. And the first vessel was renamed Front Eminence was delivered on May 18, 2010, and the second vessel is expected to be delivered in June 2010 and will be renamed Front Endurance. In May, we secured long-term bank financing for these vessels, representing 70% of the purchase price. In February 2010, Frontline agreed with Ship Finance to reduce the restricted cash deposits relating to 31 double hull crude oil tankers and OBOs by approximately $112 million. Further, the parties agreed a net upfront payment of charterhire less operating expenses of approximately $74 million, covering 80% of the payments due over the next six months. This change of structure took effect from April 1, 2010. These solutions will reduce Frontline's cash break-even level for these vessels and improve Frontline's free cash balance by approximately $112 million during the next two quarters. From April 1, 2010, restricted cash is thereby reduced to $62 million. In March 2010, Frontline agreed with Ship Finance to terminate a long-term charter party for the single hull VLCC Golden River. Termination of the charter took place in April 2010 and Ship Finance has made a compensation payment to Frontline with approximately $2.9 million for the early termination of the charter party. In April 2010, we chartered out the OBO from four to six months. Moving to Slide 5. I will then do a quick run through of the financial highlights in the first quarter 2010. Frontline reported net income of $79.7 million, equivalent to earnings per share of $1.02 in the first quarter 2010. This is an improvement compared to the fourth quarter 2009 of $76 million. The net income includes a gain of $6.7 million relating to the amortization of a deferred gain on three lease terminations and a gain of $3.1 million relating to a lease termination. We announced a dividend of $0.75 per share for the first quarter. Moving to Slide 6. The net income, excluding gain, is $66 million better than in the fourth quarter of 2009. And the increase can mainly be explained by, firstly, an increase in time charter equivalents in the first quarter compared to the fourth quarter, which has led to an increase in income on time charter basis by $63 million. The profit sharing payable to Ship Finance has increased in the quarter with $6 million, due to the improved market. Ship operating expenses decreased by $9 million compared to the preceding quarter, due to a decrease in dry docking of $5.5 million and a decrease in running cost of $3.5 million. Charterhire expenses have increased by $9 million in the first quarter compared to the fourth quarter, mainly due to three vessels which were chartered in under long-term leases up to the end of December 2009, but are now chartered in and accounted for as short-term operating leases; profit share payments on the two vessels and an increase in charterhire expenses regarding the Nordic American Tanker vessels due to the stronger spot market. These items were partially offset by the redelivery in the first quarter of the final vessel chartered in from Eiger. Lastly, depreciation and financial items have decreased about $9 million due to termination of leases on the four vessels. Moving then to Slide 7. Frontline's double hull VLCC, excluding the vessel from floating time charter earned in the spot market approximately $54,000 per day in the first quarter. If we include the vessels on floating time charter, the VLCC earned $49,200 per day for doubles and 23,600 per day per singles, with an average spot earnings of $47,500 per day. Then the average for the whole fleet was about $45,300 per day in the quarter when you include the coverage vessel. The Suezmax fleet earned in the Gemini pool $30,900 per day and as a consequence of that sum of our average Suezmax vessels trade outside the pool at lower TC rate, we earned an average in the spot market of approximately $30,600 per day for double, and we earned $8,700 for singles, getting an average spot earnings of $29,500 per day. The average for the whole fleet, Suezmax fleet, was about $31,800 per day in the quarter. Only Front Voyager was trading in the single hull segment. The OBOs earned $47,900 per day in the quarter. The TCE number show that Frontline this quarter has trade in line with out competitors, with respect to the specific and also for the Suezmax vessels in the Gemini pool. And yet sales vessels are not included in these numbers. Then moving to Slide 8. We have dry-docked the two vessels in the first quarter of 2010, which is two less than in the fourth quarter 2009. As you can see from the slide, we have added average OPEC for the fleet of approximately $9,800 per day in the first quarter 2010 compared to approximately $11,400 per day in the fourth quarter of 2009. OPEC has decreased compared to the fourth quarter as a consequence of two less dry-dockings in the quarter. We expect to dry-dock three vessels in the second quarter 2010. Then moving to Slide 9. The total balance sheet is approximately $60 million lower in the first quarter of 2010 than it was in the fourth quarter 2009. Main items explaining the changes are: the restricted cash deposits held in the respect of the Ship Finance charter reserves decreased by a total of $122.3 million, of which $111.7 million relates to the amendments of the charter agreements and $10.6 million relates to reserves no longer required for two vessels. In addition, restricted cash related to asset sale has decrease by $83.8 million as a consequence of termination of the tax lease from British Progress. Other current assets have increased with $120 million, mainly due to increase in receivables due to the prepayment of $110 million gross charterhire for the next six months to Ship Finance. Book value newbuildings are reduced with $63 million and book value vessels are increased with the $173 million, following delivery of two Suezmax newbuildings in the quarter and termination of lease on the British Progress. Further, book value vessels and equipment on the capital lease have decreased by $146 million, following the move of British Progress to vessels owned and the termination of the lease on Front Vista. This quarter, the Front Vista is booked of investment in finance lease. Short-term and long-term part or long-term debt is increased with $29 million as a consequence for the next drawdown of long-term debt. Obligations on the capital leases have decreased with $167 million as a consequence of ordinary repayment of leases by $38 million and the termination of leases on British Progress with $72 million and Front Vista with $66 million. Asset sale is included in the balance sheet with a total of $486 million of debt and obligations under capital leases. Debt related to three of the CalPetro Suezmax vessels are not consolidated in the balance sheet with $67 million. Moving then to Slide 10. The cash cost break-even rates are approximately $31,100 per day for the VLCCs, $25,300 per day for the Suezmaxes and $24,800 for the OBOs. These rates are the daily rates our vessels must earn to cover budgeted operating cost, estimated interest expense, schedule of loan principal repayments, bareboat hire and corporate overhead costs. These break-even rates do not take into account capital expenditures or loan balloon repayments at maturity. Furthermore, the M/T Kensington and M/T Hampstead and three vessels on bareboat are not included in the cash cost break-even rate. In the second and the third quarter of 2010, the cash cost break-even rates will be reduced as a consequence of prepayment or 80% of the charter hire for 31 vessels for Ship Finance following the release of the restricted cash taken place in Q1 2010. Moving to Slide 11 and 12, During 2009 and so far in 2010, we have reduced our newbuilding program with $830 million through cancellations and restructuring. Both the number of vessels in Frontline's newbuilding programs after cancellations and restructuring is two Suezmax tankers and six VLCCs, which constitute the total contractual cost of $848 million. This is a decrease of $142 million compared with December 31, 2009, following delivery of two Suezmax tankers in this quarter. Out of the total, the finance exposure on two VLCCs of $252 million can be limited to the $54 million already paid-in installments, meaning that the finance exposure is down to $650 million. As of March 31, 2010, installments of $313 million have been paid on the newbuilding compared to $364 million at the end of the fourth quarter, which include the payments on the vessels delivered in the first quarter 2010. The remaining installments to be paid for the newbuildings amount to $336.5 million. And if you exclude Front Odin, which was delivered on May 12 of 2010, the number will be $308.5 million, with expected payment of approximately $233 million in 2010 and $103 million in 2011, respectively. And the payment in 2010 can be reduced to $205 million when you exclude Front Odin. These numbers exclude the payments on the two VLCCs that have a financial exposure that can be limited to the $54 million already paid-in installments. In addition to this, we have a pre-delivery financing of $17.4 million, which is due in the second quarter. Moving down to Slide 13. The company has established long-term pre- and post-delivery newbuilding financing, representing 80% of the contractual cost of four of the newbuildings being built from Rongsheng shipyard and three of the newbuildings being built at the Shanghai Waigaoqiao Shipbuilding Company. As of March 31, $302.7 million have been drawn down on this financing. We expect to draw further $73.7 million in 2010. In the second quarter of 2009, we further established long-term pre- and post-delivery newbuilding representing 70% of the contractual cost of the last two newbuildings being built at Waigaoqiao. As of March 31, $58.6 million is outstanding on this facility and we expect to draw further $87.8 million in 2010. The four VLCCs being built at Jinhaiwan Shipyard are the only vessels in our newbuilding program which are currently unfinanced. These vessels will not be delivered under the second half of 2011 and the first half of 2012, and the two last vessels are options that we can walk away from. We have received indications of obtainable financing in today's credit market for the unfinanced newbuildings over, $65 million per vessel. Based on secured committed financing and indications for financing for the two unfinanced VLCCs, the net required equity investment in the newbuilding program is reduced to approximately $62 million. Moving then to Slide 14. In this graph, we have shown installments to be paid under the newbuilding contract and short-term loan related to the newbuilding contract in 2010 and 2011 with a total of $354 million in the light blue column. The dark blue column includes established financing and the indicated financing obtainable for the newbuilding contracts not yet financed in 2010 and 2011, with a total of $292 million. The gray column includes funds used from the convertible bond offering to fully finance the newbuilding program. This shows us that the cash flow from operation no longer need to support financing of the newbuilding program. Moving then to Slide 15 and 16. The number of vessels in the Frontline fleet is 84 vessels, including vessels of commercial management and the ITCL vessels and is compounded by 43 double hull VLCCs, five single hull VLCCs, 28 double hull Suezmaxes and eight OBOs. We had a contract coverage of 33% in 2010 and 20% in 2011. In addition to this fixed rate time charter coverage, we also have additional 11% time charter coverage on floating income basis in 2010 and 15% in 2011. The average net TC rates for the total fleet is about $45,000 per day in 2010 and $48,000 per day in 2011. And with this, I'll leave the word to Jens again.
Jens Jensen: Thank you, Inger. We are now on Slide 17 which is about the market. Historically, it was a pretty decent quarter with VLCC earnings of about $50,000 a day and Suezmaxes around $30,000 a day. Positive factors being limited fleet growth due to fewer deliveries than estimated cost acceleration of the single hull phase out. Storage remained, again, a positive factor with estimated 50 VLCCs being used for storage with majority obviously being the hull whole in ITC fleet being tied up for storage. OPEC production was up compared to a year ago and so was the global oil demand. China's crude oil import remains strong and it has a very positive ton-mile effect with large volumes being imported from the Caribbean and West Africa. 21 single hull VLCCs have, so far being removed from the trading fleet and nine Suezmaxes has followed the same route. Now we're on Slide 18, VLCC Fleet. As mentioned, we have had a very limited fleet growth in the first quarter. And if the single hull phase out will continue throughout the year, you'll see a very minimal VLCC fleet growth this year. On paper, the order book in 2011 looks a bit alarming, but remember, the VLCC is being delivered next year on average order at prices of more than USD $135 million and some owners may find this hard to get. On Slide 19, Suezmax Fleet. As we have seen during the last 18 months, net newbuildings was delivered than was appeared on the official newbuilding list, and we see this continuing for the rest of the year. With a limited single hull Suezmax fleet remaining, we will, however, have quite a fleet growth which is not really what we need. If we go to Slide 20, newbuilding prices and time charter rates. As we have predicted before, the newbuilding prices has risen and Clarksons' estimate newbuilding VLCC prices now to be around $105 million and Suezmaxes in the mid-60s, both with a slight firming trend. Time charter rates obtainable is for three years for VLCCs, around $40,000 per day; and for Suezmaxes, around $26,000 a day. On Slide 21, there's a bit more information regarding the fleet development. But again VLCC's delivery slipped last year with 20% and so far, in Q1, we have seen slippage of newbuildings around 15%. Suezmaxes in 2009 had a slippage in terms of deliveries with around 37%. And so far, we are seeing a slippage in deliveries in the newbuilding programs of around 25% in Q1. Slide 21 (sic) [Slide 22], China. Impressive growth and vital for the tanker and crude oil industry. Car sales in China in 2009 was 46% up year-on-year and so far, for the first quarter in 2010, 17% higher than the first quarter in 2009. Q1 crude oil demand was 19%, up year-on-year and China now accounts for 1/3 of the world's global oil demand growth. Also, massive refinery expansion growth in China, which is obviously explaining some of the increased crude oil demand. But also on the demand side, we have seen the strategic stockpiling has started to kick in and the stockpiling tankers in China is also considering growing over the next years. Slide 23, Outlook. So where are we now? There is no doubt we will have a limited fleet growth this year, which is positive. Newbuilding prices are moving upwards and other types of vessels are building order which is taking away tanker capacity from the shipyard. As mentioned, the expensive order book we commenced by this year end, I don't think we are looking at the final order book yet. Changes will happen. World oil demand is up, ton mile has increased due to China, which is positive. Obviously, the various financial crisis we read about everyday would put a damper on some people's expectations. And for Frontline, we are on track in our single hull phase out and fleet renewal. Our participation in the Gemini pool, as we believe, reflected positively into Suezmax market. And as Inger mentioned, we will have a better or lower cash break even for the next two coming quarters. With this, we're ready to take your questions. Thank you.
Operator: We take our first question from Jon Chappell of JPMorgan.
Jonathan Chappell - JP Morgan Chase & Co: I have a couple of questions for you on your Slide 16, with your fleet and time charter coverage. First, it's been reported in some brokerage reports that you put three VLCCs on short-term floating storage at rates that are very strong relative to spotter or even time charter rates you can achieve right now. Are any short-term floating storage charters reflected in your time charter coverage that you put in Slide 16?
Jens Jensen: No, anything below six months is not on the time charter coverage.
Jonathan Chappell - JP Morgan Chase & Co: Could you give us an update on how many ships maybe on charters under six months?
Jens Jensen: I would say the last 24 hours have been quite busy obviously with the oil streaming away in the heavy contango. So I think we are working maybe between five and 10 VLCCs now on storage projects.
Jonathan Chappell - JP Morgan Chase & Co: And are the rates, newbuilder rates, it's on the brokerage reports around 65,000 for three to six months. Are those accurate or is maybe little bit lower than that?
Jens Jensen: Some rates are lower than that. It depends a bit on the delivery area and timing, but I would say, what we had seen in the market now, we see rates between 50,000 and 65,000.
Jonathan Chappell - JP Morgan Chase & Co: Another question is on Slide 7 really quickly in the first quarter rate results. You mentioned $54,000 a day for VLCCs excluding floating charter. What does floating charter refer to? Is that short-term floating storage? Is that time charter? Is that guarantee utilization but around like a TD3-based rate?
Jens Jensen: I think you're pretty much correct. These time charters, obviously, longer than six months, typically, between one and two years with a rate -- it's a time charter and the rate is determined by some of the TD3, some are mixture of TD3 and other market-related indexes.
Jonathan Chappell - JP Morgan Chase & Co: Inger, you said three dry-dockings for the second quarter. Is there a preliminary estimate as to what the dry-dockings might be in the third and fourth quarters of this year?
Inger Klemp: No, I'm sorry. We have not.
Jonathan Chappell - JP Morgan Chase & Co: Should we look for similar number to 2009, or is there a lot more, a lot less?
Jens Jensen: It will be less, it will be less.
Inger Klemp: That will be less, yes.
Jonathan Chappell - JP Morgan Chase & Co: Inger, you mentioned in your comments that you don't need operating cash flow now to finance your capital commitments for your newbuildings and obviously, the $0.75 dividend declared this quarter was much larger than we've seen in the last two years. Does this market returned to Frontline paying a floating dividend based on the operating earnings generated in each quarter?
Inger Klemp: Well, I don't think it marks any return to anything. I think we have had that stuff [ph] all the way. We always pay what we have in excess cash to our shareholders.
Jonathan Chappell - JP Morgan Chase & Co: But it's consistently $0.25 throughout 2009 and this is a pretty big jump. So we should look for...
Inger Klemp: Yes, it was less in 2009, so the excess cash flow was less at that time.
Operator: We'll move on to our next question which comes from Gregory Lewis of Crédit Suisse.
Gregory Lewis - Crédit Suisse AG: It looks like there's been some variability in the rates that the OBOs are able to earn. What's that contributed to? Because it looks on a quarterly basis that 92% of the OBO fleet has been fixed, but the rate tends to sort of bounce around and I'm just trying to get a handle on why that's happening.
Jens Jensen: We have one ship which was prematurely delivered last year. The Front Driver, the charter who headed on went bankrupt in beginning of 2009. And that ship we have fixed out anything between three to five months time charter. So the reason I come in effectively [ph] in the quarter is whatever that ship has resulted, that's the main difference why the fluctuations in the quarter.
Gregory Lewis - Crédit Suisse AG: When I look at the two VLCCs that are scheduled to be delivered in, I guess, late 2011 and early 2012, when are the next scheduled deposit payments to the yard due for those two vessels?
Jens Jensen: Only the end of this year. Later, by the end of this year.
Gregory Lewis - Crédit Suisse AG: Second half of this year?
Jens Jensen: Yes.
Gregory Lewis - Crédit Suisse AG: I guess you're going to do the prepayment to Ship Finance. Once that prepayment is made to Ship Finance, in terms of percentage, what type of drop you expect in your average break-even cost?
Inger Klemp: We made the prepayment at the end of the first quarter, in March. And it was the consequence of the release of the restricted cash deposits. And it covers 80% of the gross charter hires for approximately six months, and the amount is $110 million in total. The exact reduction integrates the different segments, but it will be 80% reduction in the charter rates for these 31 vessels, which we're talking about.
Gregory Lewis - Crédit Suisse AG: When I'm looking at Slide 10, that already includes the prepayment to Ship Finance and the lower cash break-even rates?
Inger Klemp: The Slide 10. It does not, no. Because that's the cash break-even rates that we have without taking into account the reductions.
Operator: We move on to our next question which comes from Urs Dür from Lazard Capital Markets.
Urs Dür - Lazard Capital Markets LLC: Right now, we're seeing stock market that is reacting very heavily to a lot of commodity-related names, and this is really just a macro question to get your management feeling of where we're going as a side comment compared to 2008, when trade finance stopped and ship stopped, this current pullback you're seeing overall ship traffic across-the-board be quite firm. Have you seen any impact on the near-term inquiry for chartering of crude tankers going long or short distances from any of the current fears that are impacting the stock market?
Jens Jensen: No, I think even many people think that 2009 was a very bad year for the crude oil tankers. It actually wasn't. We saw VLCC rates around $37,000, $38,000 a day. And of course, we have seen beginning this year be around $50,000. Right now, that seems to be a lot of demand in the market for storage, so I think some of the oil companies and the oil trader expect the oil to rebound and they are trying to position themselves now with various storage place or contango movements. I guess to answer your question, they're not seeing the financial crisis too much on the tanker side.
Operator: [Operator Instructions] On to our next question from David Neuhauser with Livermore Partners.
David Neuhauser - Livermore Partners: My question actually is very similar to the last caller which is more of a macro question, which had to do with China, obviously, makes up a third of your market here in oil and wanted to see if we're seeing any further issues with that if we do see demand slow down here in the next several months?
Jens Jensen: I had the same question when we did our presentation this morning in Norway and of course, this is purely my comment, but it's probably a good sign for the Chinese state now to buy some more oil when it's going down $10. So that was my hope that we'll see more oil going into China and some long-term mileage, but that's my view.
David Neuhauser - Livermore Partners: And then also looking at positioning yourself moving forward, I see you're lowering your break even on the cash side. Are you viewing that as -- or are you gaining any market share as you see the shakeout take hold from last year, are you seeing further market share gains for Frontline?
Jens Jensen: Well, there's been very little consolidation or cheap assets to be found. I think, we're not the only tanker company who's been looking or isn't preparing themselves but that's actually being very little. And so far, we are not seeing any distressed companies or anything like that. It could, of course, happen when you come in to the more expensive newbuilding program and if there's more tightness of financing from the banks, but so far, we have not seen this.
David Neuhauser - Livermore Partners: If you don't see those stresses even in this pullback in the market that would maybe the outlook becoming a little more to fit, do you still see maybe further consolidation with even some of the companies that are stronger but looking to gain market share? Do you see there could be a tie up between Frontline and one of your other peers potentially?
Jens Jensen: Well, we have done it with TK, of course, we have come together in a Gemini pool and we're quite happy with that tie up, so we will not mind if any other tanker out there would give us their whole fleet and we could operate it, that would be very nice.
Operator: We'll now take a question from Doug Garber of FBR Capital Markets.
Doug Garber - Fbr Asset Investment Corp.: My question was on asset prices and I was hoping you could shed some light on the prices for newbuilds from yards versus new resale prices, and your preference for buying or building.
Jens Jensen: Of course, it will be nice to buy a ship on the water which we did one month ago, and the first ship will be delivered will go straight into our sort of busted cash flow and you make money out of it. But of course, prices have moved up the last one or two months. Of course, the alternative is to build a newbuildings. But the problem with the newbuildings, if you order right now, you'll luggage will get in 2012 delivery. And that's, of course, a bit forward. So I would say the preference would be to buy something on the water either buy or charter in right now.
Doug Garber - Fbr Asset Investment Corp.: What is the prices for the newbuilds for VLCC from the yard for 2012 delivery?
Jens Jensen: Of course, it depends on the quality of the yard and what payment terms you're getting. But I would say in Korea, it's probably around $105 million, maybe a little bit more in China, maybe high 90s, close to 100. But that depends on the yard payment specification. So it's difficult to pinpoint exactly, but that's in that range.
Doug Garber - Fbr Asset Investment Corp.: So it seems like it's the same price for a newbuild versus a resale except they were two-year delay, so...
Jens Jensen: Not really. If you wanted to buy a ship on the water right now, I think, you'll probably have to pay closer to $115 million actually.
Operator: [Operator Instructions] At the moment, there is no further questions in the queue, sir.
Jens Jensen: Okay. Well, then I would like to say thank you for dialing in and listening in, and I would like to thank everybody in Frontline also for a very good performance in the first quarter. And we're looking forward to our second quarter. Thank you.